Nini Arshakuni: Hello everyone. Welcome to Lion Finance Group plc's Second Quarter Results Call. My name is Nini Arshakuni. I'm Head of Investor Relations, and I'll be moderating today's session. We are pleased to present our results for the second quarter, which you can also see on this slide. So we're -- we have a very solid set of results with our profit reaching GEL 513 million in the second quarter, up 19% year-on-year, resulting in a cumulative half year profit of just north of GEL 1 billion, up 28% year-on-year, with return on equity standing at a very strong 27% and 28% in Q2 and half -- the first half of '25, respectively. And these results are underpinned by a robust customer franchise and portfolio growth across our core operations in Georgia and Armenia. I am joined today on this call by -- as usual, by the group CEO, Archil Gachechiladze, who will share his perspectives on the group's performance. And for the first time, we're delighted to have Hovhannes Toroyan on this call. Hovhannes is the Chief Financial Officer of Ameriabank, the group's banking subsidiary in Armenia. And we also have Akaki Liqokeli, our macroeconomist who will walk through the recent macroeconomic developments across our core markets of Georgia and Armenia. Following the presentation, we'll open the floor for your questions. And as a reminder, this call is being recorded. With that, we'll first start with the macro highlights. So I'm handing it over to Akaki to kick off this webinar. Akaki, you can go ahead.
Akaki Liqokeli: Hello, everyone. I will be presenting the macroeconomic update for our core markets, Georgia and Armenia. Let me start with the growth performance. Georgia continues to benefit from a balanced mix of strong external inflows and resilient domestic demand. In Armenia, growth momentum has shifted more towards domestic drivers supported by fiscal stimulus and credit expansion, while external demand continues to normalize. Preliminary numbers show that both countries performed better than expected in the first half of the year. In Georgia, real GDP growth was 8.3% year-on-year in the first 6 months, while Armenia posted 6.3% growth. So given the strong numbers and improved outlook, especially following the recent signing of Armenia-Azerbaijan peace framework, it has enabled us to revise our full year real GDP growth forecast upward to 7.5% in Georgia and to 5% in Armenia. So this sustained strong growth performance in recent years has led to a sustained increase in per capita income levels in both countries, as you can see on the right-hand side of the slide. However, the average income levels are still below Central and Eastern European peers, which leaves significant room for further catch-up growth in the years to come. Now let me move on to drivers of growth. In Georgia, external demand continues to play a major role with traditional inflows from exports, tourist and remittances increasing steadily. In Armenia, exports continue to normalize from one-off spikes from the last year, while other inflows and particularly remittances remain solid. Beyond these traditional inflows, we see strong performance in non-travel service exports and particularly IT services, which support hard currency inflows and also generate productivity gains for the wider economy. So all these inflows taken together have also contributed to strengthening local currencies. Georgian lari and Armenian dram continued to appreciate in the second quarter, even after the U.S. dollar stabilized against other major currencies. Notably, real exchange rates of Armenian dram and Georgian lari are adjusting after significant appreciation in previous years, as you can see on the right-hand side chart. This adjustment is taking place through lower inflation relative to trading partners with no pressures on nominal exchange rates. We expect both currencies to remain stable in the medium term, underpinned by healthy macroeconomic fundamentals and prudent monetary policies. Now strong exchange rates also supported low and stable inflation in Georgia and Armenia, and the recent upticks that you see in the headline numbers are mostly attributed to food price increases, while core inflations remain well aligned to central bank targets. We, therefore, expect these food-related pressures to be short-lived. Still, given the globally uncertain inflation environment, central banks of Georgia and Armenia maintain cautious stance, keeping interest rates unchanged, and we don't expect any cuts in the remainder of the year. So beyond price stability, 2 additional pillars to overall macroeconomic stability are adequate levels of international reserves and prudent fiscal management. And in this regard, we have very positive developments in both countries. Particularly in Georgia, the central bank has been actively replenishing international reserves, which reached USD 5 billion at the end of July, which is the highest number since 2023. And the interventions, the foreign currency purchases were particularly high in recent months. So there is also positive development on the Armenian side where reserves are also increasing, and we expect this trend to continue, improving the resilience of Georgian and Armenian economies. On the fiscal side, we also see both countries maintain discipline. However, the public debts have taken different trajectories. The Georgian government continues to decrease external debt, and this has brought the total government debt to below 36% in mid-2025, which is a significant decline if you compare it to almost 60% back in 2020. On the Armenian side, the government is carefully balancing the current spending needs with longer-term fiscal sustainability objectives. The total government debt to GDP is expected to stabilize at around 56% in the following years, and the fiscal discipline is also supported by ongoing IMF programs. And lastly, the financial sectors in Georgia and Armenia have benefited from favorable macroeconomic conditions while also supporting growth. We continue to observe robust lending expansion in both countries, while loan dollarization have decreased significantly in previous years, reducing exposure to exchange rate risk, and the balance sheets remain strong with nonperforming loans at one of the lowest levels among the peer countries. So this concludes my part. Back to you, Nini.
Nini Arshakuni: Thank you, Akaki. And now we can move to the group's results, and I would like to ask Archil to share his highlights.
Archil Gachechiladze: So first of all, thank you very much for joining the call. I understand that a lot of you -- a lot of our investors may be on vacation. And nevertheless, I think attendance is one of the highest that we have seen. So as Nini has mentioned, we had a very solid numbers. I think what's important is that as the macro economy is doing better than we expected in the beginning of the year, we also see very strong demand in loans. So on the balance sheet side, we will cover on the next slide. Growth is very good in Georgia and phenomenal in Armenia. Deposit formation is very strong as well, and the overall numbers are quite solid. So operating income grew 9.5% year-over-year in the second quarter. Notable that Georgia increased 11.4% and Armenia 8.7%, of which then when we dissect it to interest and noninterest, most of it came from the -- most of the growth came from the interest income this time, with Georgia delivering 17.5%, Armenia 16.3% and combined, that resulted in 15.8% year-over-year increase in interest. In terms of the noninterest income, it was minus 2.2%, and I'll go into details over the next few slides. Net interest margin, we -- as we said on the results call, the last one on the first quarter, we said that there was a slight risk on the upside. So increased to 6% net interest margin, of which there was a bit of increase from Georgia, mainly coming from the fact that we had extra liquidity deployed. And there was a slight decline in Armenia from a relatively high base. You do see that we had a slight uptick on the loan yield side, but also it was a slight uptick on the cost of client deposits and notes, mainly coming from the dedollarization, especially in Armenia, where the attraction of dram deposit is slightly higher, more expensive than in hard currency. Net fee and commission income. The AFS was minus 17.7%. What's interesting is that last year, second quarter, we had a relatively large item, which was coming from investment banking fees of about GEL 10 million out of GEL 29 million. So if you normalize it for that one large item and this quarter, we didn't have large in some banking fees, which are rather bumpy. If you didn't have that, you would have 24% increase in net fee and commission income in Armenia. In Georgia, it was relatively small number, partly due to some adjustments. But even in that case, it would be low double digit if you normalize it for that. And that's partly due to the -- due to increased competition slightly, but also these -- the Visa, Mastercard fees that we have seen a little bit uptick there, and we have negotiated. I don't want to go into details, but going forward, things will better. Net effects, we had a rather flattish performance where we had the Georgian operations delivering minus 8%, predominantly based on the fact that it was the client flow -- or revenue from client flow was flattish and a slight decline in terms of revaluation gain. In Armenia, it was minus 1.9%, also mainly due to the fact that there was a bit less volatility in the second quarter in Armenia dram than previously last year. Operating expenses increased 12.1%, of which Georgian operation was 15.7% and Armenia, 3.1%. We like Armenian cost discipline. In Georgia, we are taking into -- we're taking certain actions. As we get closer to the end of the year, we'll see some of it coming into the numbers. Cost to income ratio summed up to 36.5% for the quarter. And now regarding the balance sheet growth, we had 22.5% constant currency growth, which is very strong and well ahead of our guidance of about 15%. We had 17% constant currency growth in Georgia and 37.6% in Armenia, which is a phenomenal number. What's even more important, I believe, is the Q-over-Q number, which is 10.2%, and Hovhannes will dissect it into where this growth is coming from. We also had 4.7% in Georgia Q-over-Q, which is also a very strong performance. And there, most of the growth is coming from corporate and mass retail, including consumer, slightly less demand on mortgages and SME, but overall, very strong performance. Deposit portfolio, we had 26.1% growth constant currency in Armenia and 10.9% in Georgia. And in Georgia, we are trying to decrease our market share as we indicated to the market, which we did slightly. Cost of credit risk, we had 0.5%, which is slightly higher than last quarter, but it's well below our normalized level of 80% to 100% that we got, which still is a very good performance. And I think this performance will continue like this as the macro economy is doing very well, and we're feeling that already. And you can see it in the NPL numbers, the overall 1.9%, which is also a very strong show. Profitability, year-over-year increased 19.4% without the one-offs, which was partly due to the fact that in the second quarter of last year, we had a strong reserve associated with the acquisition in Armenia. But overall, a very good number, and the return on equity is 27.2%. And for the half year, it's 27.9%. GFS, I think we mostly covered, but if you take on a standalone basis, return on equity was 31.1%. Profitability was GEL 409 million, which was up by 7.6%. Loan book growth, 17%, as I said, and deposit growth of 10%. What makes me quite happy is how our retail digital monthly active users is still growing at 15.5% year-over-year, achieving 1.7 million customers in a country of 3.8 million people. This, I'm not going to discuss more here. We're also enjoying very strong growth of our business mobile users, growing 22% year- over-year and achieving 100,000 users. We are also growing our digital sales very well. As you can see, we achieved almost 70%, which is a very good achievement. And now also, 86% of all loans are fully -- issued fully digitally and 73% of all deposits. I mean, that number is growing very, very well year-over-year. NPS, we -- customer satisfaction, as you know, is a big focus for our -- for all of us at Lion Finance Group. In Bank of Georgia, the NPS was reiterated at 73, which is a very strong showing for any universal bank. Acquiring volume was growing by 27%, which is also a very strong showing, and also a number of people using our cards increased by 14.3% to go above 1.5 million people in Georgia. Loan portfolio, we covered already in deposits when we were discussing the overall numbers. Capital position is very strong, as you can see, and liquidity is very strong as well. On this bright note, may I ask Hovhannes, our CFO from Ameriabank to join. Let me turn this off because I think he can share the presentation. Hovhannes, tell us how are things going in Armenia. We see phenomenal growth. Please tell us more about it.
Hovhannes Toroyan: Thank you. Thank you, Archil, and thank you, everyone, for joining the call. I'm actually pleased to announce our results for Q2. And before I go in there, I want to just add a couple of words on the very positive environment -- macroeconomic environment that Akaki presented in details, figures. I'm sure most of you have already heard about the recent U.S. broker transaction that is expected to deescalate the geopolitical tensions in the region, and so-called TRIPP corridor to be established that will assume opening the borders as well and technically will result into better regional integration with greater economic results potential for the country and the region, in general. So in addition to that, I want to note that this has been very positively received both locally in Armenia as well as internationally by investors. I'm sure you've seen the Armenia Eurobonds yield going down 60, 70 basis points over the last 1-month period. And moreover, over the last couple of months and over the couple of following months, we do anticipate to have several very important and significant developments in Armenia, namely, if I name a few of them, NVIDIA that has established an office in Armenia more than 2 years ago has announced that it's going to be partnering with Firebird and government of Armenia to launch a $500 million worth of project, building AI supercomputer that will really transform not only the overall IT infrastructure in Armenia, but overall the region. And it's going to have 100 megawatts of data center as well. And given also the quality of engineers locally, we anticipate it's going to have a significant chain effect on the IT sector and not only in Armenia. Another large project that was announced a couple of months ago was on natural resources, one of the larger natural resources to be activated and operated soon. That is estimated to have from 0.6 to 1.5 percentage point impact on GDP in the medium term and add another USD 100 million to USD 120 million of tax revenues to support the government. We do anticipate to have another significant transaction in the natural resources sector that will also have positive impact on our development from the baseline scenario that we were discussing. And obviously, a number of infrastructural projects, South-North corridor, the TRIPP corridor-related infrastructure investments. So I would say, overall, there is a very positive sentiment and expectation on the economic developments in the country. As for the Q results of Ameriabank, we did register GEL 95.8 million profit during the Q2. And if we take out the one-offs from previous year, year-over-year, this would yield into 17.7% growth. Our return on equity in consolidated report is 20.1%. But if we look also at the standalone report, it's going to be 24.1%. The loan growth and deposit growth figures speak for themselves, 37.6% in constant currency basis for the loan portfolio and 26.1% for deposits. I will talk about these figures a bit later. And obviously, a huge impact and result on increasing our monthly active users and DAU, MAU that actually grew more than 50% year-over-year. And again, we'll have another slide on that later. This is to emphasize the importance of our digital transformation. And also here, I want to just mention that year-over-year, the volume of transactions through our MyAmeria application have gone up more than 68%. Our cash offloading ratio is more than 91% at the end of the Q2. So you can see a number of features that are available in our super app and also beyond banking part as well. I'm very happy to mention that we actually launched a kid's app, MyAmeria Star. This was a project that was designed and implemented over a course of 3 months, and I want to thank all the peer colleagues engaged in that. And this will give our younger generation not only opportunity to cover their basic needs in terms of their finance, but also, more importantly, this will cover educational aspect. And we really want to emphasize that not only for kid's app, but also in MyInvest, where we actually have, I think, a one-in-a-kind in- app built academy where we educate our customers to take advantage of wider financial services offered by Ameriabank locally. And there, again, I just want to mark that our both transactions numbers and volumes have more than doubled year-over-year. And we are very happy to see that 73% of the IMEX corporate bond trades are done through our platform. This is to note that our customer base has actually surpassed 700,000, of which 408,000 are monthly active customers. That's 35.8% year-over-year growth. And MAU and DAU grew 54.5% and 52.2%, respectively. Very impressive for us. But actually, we want to note that there is still a huge opportunity for further growth, and we aim to improve the absolute number of MAU and DAU significantly through increasing our customer base over 1 million and also improving our digital uptake and engagement ratios over time. Loan portfolio growth and deposits speak for themselves. Again, 37.6% in constant currency basis growth year-over-year and 10.2% for the quarter. This is actually very diversified in both sectors, retail and corporate. It's actually driven by a very good economic environment and very healthy demand locally as well as very positive brand positioning, risk management and also digital transformation. Just for your information, 96% actually of consumer loans were issued through our digital platforms, enabling wider coverage and minimizing our underwriting costs, of course. Deposits, again, very strong year, 22.3% year-over-year. And here, I just want to mention that we have also restarted collaboration with DFIs. And given the change of the international rates that are more compatible with local rates now, I'm sure most of you have seen several transactions that we have announced last year, end of last year and beginning of this year, EUR 200 million with IFC, EUR 105 million with EIB, EUR 50 million with EBRD, and there are a couple of more to come, hopefully, still this year. And this is to show our very positive trend on the market share. Over the course of the last 12 months, we were able to improve it by 1.3 basis points and 0.9 basis points for the quarter itself for the loans and 1.2% year-over-year and 0.6% for deposits. Again, we are very happy with the organic growth that we're able to achieve, but our ambition here is to hit 30% market share over time. And while we see the trajectory going there, we've also -- based on the questions that we got from previous quarter, I also want to mention that our baseline scenario is organic growth. But at the same time, we will seize any nonorganic growth opportunities in the local market. Our capital position stood strong. CET1 had 2.9 percentage point buffer. For total capital, we have 0.1 percentage point buffer. I want to highlight that this has been a managerial decision to unleash the local growth opportunities. And especially given the fact that we had already signed a subordinated debt, that would improve our capital position. That was engaged -- included into our regulatory equity during the last few days of June, hence, did not have much impact on the average capital adequacy ratio presented in here. For July, our buffer was 0.3 percentage point. Now it's even higher. We have actually attracted 2 more smaller sub debts in end of July and beginning of August. Another one is coming up by the end of the year. And we are actually looking forward to finalization of the regulatory changes, whereas Central Bank of Armenia will be enriching the capital instruments for Armenian banks, and we will be looking into improving our Tier 1 capital with that as well. Liquidity positions are again very strong, LCR at 173.8% and NSFR at 117.2%. This is it for the Armenia operations. Thank you.
Nini Arshakuni: Thank you, Hovhannes. And now back to Archil for the wrap-up before we move to the questions. Archil, you're on mute. So if you can please unmute yourself.
Archil Gachechiladze: Thank you, Nini. Thank you, Hovhannes. Very impressive results. Especially, balance sheet growth is very impressive. Now just to wrap it up. We have announced GEL 5.1 per share dividend, which is for the first half of the year. Also we announced that we'll be going to quarterly dividend announcement. So this GEL 5.1 is for first and second quarter. And then every quarter, we will be announcing dividends on a quarterly basis going forward. Also something to note is that we are approving -- the Board has recommended and approved GEL 98 million buyback for the first half of the year, which will be happening as well as we speak, and it's a buyback and cancellation. Now over the last few years, we have gone from 49.2 million shares to 43.9 million, canceling more than 10% of our shares. Just to reiterate, we -- our medium-term targets are 15%, which is 15% growth, which we are over performing right now; return on equity of 20-plus percent, which we are over performing with a large margin; and a dividend and share buyback payout of 30% to 50%. And we told our investors that we will be on the low side of that as we are deploying all of the profitability that we generate in Armenia there to fund the growth. And as you can see there, we are looking forward to the regulator approving the framework, which will allow us to issue the additional instruments, maybe Tier 1 instrument, which is a good problem to have because if the franchise is growing at 30-plus percent, 37% in this particular case, it's a good problem to have. And we'll be dealing with that to deploy more of the capital, while the franchise is generating 20-plus percent return on equity. And there are plenty of good news to look out for in Armenia overall on the macro side, which is resulting in many different good news. I think Hovhannes did mention that NVIDIA has a back office in Armenia, employing about 600 people in the country. But recently, they announced a large data center, which will be more than $0.5 billion projects together with a number of different investors. That will be a joint venture where NVIDIA will be provider of the chips and regional know-how. And there will be -- regionally, it will be very, very strong. And it's a good project because it will generate more and more data capability and processing power for the whole region. So such projects -- and there are new very significant and exciting things happening in Armenia, which we'll look out for. And Georgia numbers, as you can see, were very strong. I'll reiterate, as Akaki said, that 7 months of this year, National Bank has bought about $1.2 billion on the market, which is about the same as in 2023, which was the highest net buying that we have seen historically. So just in 7 months, almost the same as the highest ever in 2023, which not only recouped all the spending, which was done last year to stabilize the lag in the political turbulence, but also aided to it, which is a very good management overall for the National Bank. So all well on that front. On this very note, should we open for Q&A?
Nini Arshakuni: Let's now move to the Q&A, and we already have a few raised hands from our analysts. And the first on the line is Priya Rathod from Jefferies.
Priya Rathod: Can you hear me?
Nini Arshakuni: Priya, yes, we can hear you.
Priya Rathod: Perfect. And congrats on a strong set of results. I have 2 areas just to focus on, please. So the first is on the net other income. There was a notable increase quarter-on-quarter, especially in GFS. Could you just speak to what the drivers were there for the increase, please? And the second topic is on the HSBC Malta potential acquisition. A couple of questions here, please. So I guess, the first is, what synergies or benefits are you seeing from this acquisition? And I guess, I'm asking which products or offerings does Malta offer, which you don't currently have. Or where do you see it as enhancing your current offering? And are there any regulatory hurdles or pushbacks you envisage in the process? Because there's quite a lot of news flow suggesting that there's a preference for a European buyer. So just any thoughts around that? And finally, just generally on the timing of this acquisition because the Ameriabank acquisition only recently closed and I think...
Archil Gachechiladze: Sorry. Priya, can you hear me?
Priya Rathod: Yes.
Archil Gachechiladze: Malta HSBC has announced that there's a preferred bidder, which is a European one, a good bank. So it's no longer relevant at this stage.
Priya Rathod: Okay. So I guess, my question is the net other income question, please.
Archil Gachechiladze: Yes. On the net other income, why do you say it's significant? It's just GEL 2 million, GEL 3 million more in Georgian case for the GFS. So it's not a significant uptick. And net other income includes a number of different things, including one-off gains on real estate sales and such. So it's not a significant number. For operating income, there was GEL 746-almost million. It was less than GEL 15 million. So it's not a significant number. Nini, can you help me what did go over there?
Nini Arshakuni: It did include a sale of one of the assets. So...
Archil Gachechiladze: It's not, it's not...
Nini Arshakuni: But it's not significant.
Archil Gachechiladze: GEL 15 million is not a significant number. So if you look on a half year basis on Page 9 of the results, you can see that last year, it was GEL 19.5 million for first half. And this year, it is about GEL 22 million. So it's only 12.8% increase. And this number is usually bumpier than this, but it's nothing particularly significant this quarter, yes. But regarding Malta, yes, it's unfortunate that we definitely were much less aggressive apparently than some of the other buyers -- interested buyers. And in this particular case, it was formerly Attica Bank of Greece that was announced as a preferred bidder, who would rather be more disciplined than in terms of the buying. And sometimes, that means that we miss out on opportunities, which is unfortunate, but what can we do?
Nini Arshakuni: Thank you, Priya. The next raised hand is from Sergej, but I don't see the last name. So let's see who the person is. Can you hear us?
Sergej Belozerov: Yes. Can you hear me?
Nini Arshakuni: Yes. Yes, I can.
Sergej Belozerov: Perfect. Sergej Belozerov from Greyhound Capital. Very impressive results. You've been growing very impressively as a country and as a bank over the last 4 years. My question goes, you show -- you have shown that the remittances and GDP has -- have grown over the last 4 years. So from my understanding, there were over 100,000 immigrants coming from Russia and Belarus over the last 4 years, which -- and a lot of them are operating in IT services, hence, generating probably 10x the GDP average. So how much do you think has that impacted overall your performance over the last 4 years? And how do you think that could reverse now with potentially the end of the conflict?
Archil Gachechiladze: I will ask Akaki to go into the details. But all in all, I can say that in 2022, the inflow was stronger. Some of the people have established themselves here opening -- it's IT, but not only. There are different -- there are families that have moved, opened kinds of businesses, bars, restaurants, pet care shops. And I don't know all kinds of defense studios and so forth. So -- but it's people have moved to different countries, including Georgia, and have established themselves. Some of them have moved on. So as in the beginning, I think Europe was rather closed for this IT specialists. But then Portugal, Spain and others have rolled out different kinds of programs for IT specialists, including Russians, Belarusians and so forth, And some of them have moved on. So I think you had an uptick in 2022, '23, but it has normalized much more. Akaki, could you comment on this?
Akaki Liqokeli: Yes. So the significant inflow that we saw after 2022, we see some stabilization with some normalization in these inflows. Some people, some freelancers have moved on to other destinations. And this IT sector benefited not only by the inflow of migrants, but also by relocation of several international companies from the region. And we expect those businesses to stay in the country, even after the situation stabilizes. So we do not expect any abrupt or sudden outflow, as we see these businesses are growing. They are expanding their operations in the country and generating significant export revenues as well as productivity gains for the wider economy. So we can say that those one-offs have already stabilized, and we do not expect any significant or sudden outflows.
Archil Gachechiladze: In terms of the transfers from Russia, it's less than 1% now, and it's decreasing. So in terms of hard currency transfers, other countries are increasing significantly, including the U.S., which is becoming stronger and stronger source of remittances for Georgia. And also just to reiterate what Akaki said, all of these large international outsourcing companies that moved their offices to Georgia and Armenia, they started to hire locally, which created a significant competition for our IT resource. And we have seen very strong inflation of IT resource over the last 4 years. So on the cost side, we saw that. But on the revenue side, obviously, it contributed to the overall GDP. So all in all, it resulted -- over the last a few years, we basically increased our profitability more than 4x. So all in all, it's not just this, but it affects all sides, revenue as well as costs. But it's not only the people that migrated, but it's rather the companies that know how to do the outsourcing service for the rest of the world that have to look for new home. And once they found it, they are here to stay, like NVIDIA with 600 people in Armenia. I don't think they will be going anywhere, regardless of the peace that we all expect to come in the region.
Nini Arshakuni: Thank you, Sergej. So we don't have raised hands at this point, but we have a few questions in the Q&A chat from anonymous attendee.
Archil Gachechiladze: I would suggest, Nini, maybe this is the last time we should answer anonymous.
Nini Arshakuni: Well, the person is telling us, thank you for keeping the anonymous line open, but...
Archil Gachechiladze: At least, one thing we can do is know who's asking the question. We are publicly answering, but yes.
Nini Arshakuni: So the first question is if we can clarify which group expenses are allocated to the Armenian segment during consolidation because there is a difference in the expenses between standalone and IFS. So that's the first question. Maybe, Archil, will you just quickly...
Archil Gachechiladze: So it's mainly group functions, which includes CEO, CFO, a couple other things. There's also a sign-up bonus for the management that we had initially that is being amortized, and it's almost done. So that's about it. And another question is, are we going to have an Investor Day? Probably, spring of next year, we will be having one.
Nini Arshakuni: And then there was a question, like, what was the rationale for considering the acquisition of HSBC Malta? And do you still consider an entry into the banking sector in Malta now that the other bidder has been -- the preferred bidder has been announced for a different acquisition?
Archil Gachechiladze: Okay. So maybe I'll take that question. So our strategy is to do a main bank for our customers, and we like larger scale. So that means that we like to look at acquisition targets, which are top 3 in larger countries maybe top 5. So in Malta, the acquisition target was #2 with about 20% market share. We thought that it was a franchise that would benefit with the digital offerings that we have significantly, I would say, because HSBC was -- looks like was thinking about exiting that country for a long number of years and have underinvested in the franchise. So we thought it was some franchising in a small country, but could benefit significantly with the refreshment of the product offering. We would not be interested in looking at a small player in a small country, let alone. We will not be interested in a small player in any country, let alone a small country. So in other words, we would not be interested in terrain, but we'll opportunistically be looking at all of Eastern Europe. Malta was a bit of a stretch, but it was -- could have been an interesting opportunity. But we're looking at top 3, maybe top 5, if it's a larger country because we believe scale matters. And we like the types of acquisition targets where we feel that we can bring value with our ability of bringing the customer care approach, and that approach includes a lot of details in it, not just the philosophy, but the processes as well as the digital offering. So all of this together does not happen very often. So don't expect too much activity on our side there.
Nini Arshakuni: And there was also another question in the chat. If there is any current or upcoming debt capital markets initiatives that we're working on or planning.
Archil Gachechiladze: Well, I think in no uncertain terms, we said that we are looking forward to the framework of Tier 1 for Armenia, and it's for a reason, I'll say that. Other than that, probably not.
Nini Arshakuni: So we have a raised hand from Ronak Gadhia. So let me allow him to talk.
Ronak Rasiklal Gadhia: Congratulations on the results. Maybe 2 or 3 questions. Firstly, on cost of risk in Georgia, we saw a sequential pickup Q-on-Q to 0.7%, still below historical levels. So should we gradually see a convergence towards the historical range of 1%, 1.2% in the next few quarters? Or was that just a one-off pickup in 2Q? Likewise, staying with Georgia. The OpEx run rate, you explained some of the one-off factors driving that. But even excluding that, the run rate -- the growth rate is quite strong. Should we expect that growth rate to continue at that level? Or are you at a point where you made all the upfront heavy investments in digitization and we should start to see some leveling off? And the final question on...
Archil Gachechiladze: One by one, Ronak, because we might forget.
Ronak Rasiklal Gadhia: Yes, yes. Sorry, my bad. Yes.
Archil Gachechiladze: So the first one is cost of risk. It was slightly higher. It was partly due to the fact that there's lari that's slightly weaker versus euro. So there's a small part of euro portfolio, which contributed about 14 basis points. But other than that, it would have been 0.5%. Now 0.5% still is well below our midterm expectations of 80 to 100, but we don't expect to get close to 100 until we see this above -- until we see such a strong macro development. Having said that, so as the macro is developing well above the potential long-term 5% that Georgia has, I think we are at 8%, 9%, we feel that the credit quality that we look at is very strong overall. So underlying cost of risk, we should not expect getting close to 1% in the short term. We'll see what happens on the market. So it will depend on that. What was the second question, was on?
Ronak Rasiklal Gadhia: The OpEx growth outlook in Georgia.
Archil Gachechiladze: There, what we pay attention to is the operating jaws, and we don't enjoy that they have been negative. So I think from the fourth quarter, fourth quarter, it should neutralize, at least, and then we'll see where we get to from there. One thing that is not helpful is that the overall in the country, the salary income levels have been still growing at double digit, fourth year in a row. So that's not helpful. But having said that, I think the overall franchise has been growing, and that should be more than enough to absorb it. So we normalize the costs. Now it has been slightly higher, but we should -- it will be under control. Let's say, it is under control, but it should translate into a neutral, maybe positive very soon, if not in the third quarter, then in fourth quarter onwards.
Ronak Rasiklal Gadhia: And same question on Armenia, the OpEx growth Q-on-Q was flattish. Is that just some synergy benefits that have been realized? Or -- because I was expecting growth to be slightly stronger as you're starting to make some more digitization investments there. What can we expect in Armenia?
Archil Gachechiladze: I'll just say one and then maybe Hovhannes says the rest. We don't have much synergies there in terms of costs because it's run completely as a separate bank because it's the regulatory environment is different. There's also requirement to run it separately through the Board, et cetera, et cetera. So on the back side, there are no synergies at this point, at least. So please, Hovhannes.
Hovhannes Toroyan: Yes. Just to add on that, while the year-over-year growth on the OpEx was 2.6% only, there is some so-called seasonality issue because some of the costs were not evenly distributed previous year. And we are going to have this situation changed towards the end of the year. So the natural growth would be somewhere around 8%, 9%, and so slightly short of 10% for the year, most probably. I mean, if we continue with the same run rate, it's going to be slightly short of 10%.
Archil Gachechiladze: Thank you, Ronak.
Nini Arshakuni: Thank you, Ronak. So another raised hand is from Can Ozguzel from Franklin Templeton.
Can Ozguzel: And congrats on the results. I have 1 macro maybe question regarding Azerbaijan and Armenia trade. The question is, do you expect in the future or when, if possible, to expect trade barriers of Armenia between Azerbaijan and Turkey to be removed? And in such a scenario, what do you think the impact will be on Armenia's economy? Do you think it will be a game-changing development? Or yes, initial thoughts maybe on that will be great.
Archil Gachechiladze: Hovhannes, why don't you start since you're closest to the event?
Hovhannes Toroyan: Of course, it's still a bit early to say what's going to happen, but there are clear talks already that the borders with both neighbors will be opened in a matter of time, actually. And there are already some preliminary assessments that are rather positive actually for the economy of Armenia, but also for the regional economies as well. There is no very concrete assessment how much additional impact on GDP or information on like trade it will have. But there had been a couple of articles. Like Forbes had another one yesterday actually giving some estimates how much trade could flow through those borders. And overall, we anticipate that whenever those borders will be opened, of course, it may take some time, but it's going to be really a change of the dynamics of the trade in the region and having significant positive impact on the economy overall of Armenia.
Archil Gachechiladze: Akaki, anything to add there to have more insight there?
Akaki Liqokeli: Well, I would just add that opening up this corridor would definitely change the overall situation in the region because that will be beneficial from the diversification perspective and also to definitely increase the trade flows in the overall region. So I don't have any estimates either. But overall, yes, we expect this to have a significantly positive impact on the whole region and particularly on Armenia and Georgia.
Nini Arshakuni: Thank you, Can. Now another raised hand is from Alex. I also don't see the last name.
Unidentified Analyst: Can you hear me?
Nini Arshakuni: Yes, we can hear you.
Unidentified Analyst: Okay. Great. I have a question on the fees and commission revenue dynamics. You mentioned that you have some increased competition in the fees business as part of the reason for the softness of the fee revenue dynamics. Can you elaborate a little bit on that? What's driving this and how you see the outlook?
Archil Gachechiladze: So what we see on one side is several system providers like Visa and others trying to increase the fees. And on the other side, we see that we've gained market share over the last 4 years, going from 38% to 57%. Not all competitors are happy about it, and they're spending heavily, I can say, to somehow recoup some of that lost market share. And that's part of the part of it. While the first one is absolutely recoupable, and we have addressed it, and the second one will hurt the attack much more than the defender. So what to expect? I think we said in the results that we'll be expecting high single digit in the third quarter and low double digit in the fourth quarter in net fee and commission income, which is slightly less than the overall business growth, but that's what we expect. In terms of the -- that's on the Georgian side. On the Armenian side, what we are saying is that, in fact, when you remove the one large item, which was 1 year ago, you see 24% year-on-year increase in fee and commission income. So we are quite happy on that one.
Nini Arshakuni: Thank you, Alex. I see Sergej's hand, but maybe he forgot to put it down, but let me just to double check. Sergej, do you have further questions? Or -- no. Well, so I guess not. So I don't see any other raised hands at this point.
Archil Gachechiladze: So since we allowed the exception of anonymous attendee's questions to be answered, let me take them. So anonymous attendee's third question is, how do you see regional geopolitical risks affecting cross-border flows and banking sector stability? Well, one thing we can say is that there has been decrease of political risk happening. So if anything, there are plenty of upsides. And I think Hovhannes did mentioned that as there's a piece deal between the Azerbaijan and Armenia side, there's plenty of opportunities there in terms of border opening, in terms of perception of stability and the longer-term ability to -- for longer-term planning for a lot of private investors. And we, as the leading bank in both countries, we are there to provide credit and services to such private investors. So if anything, it should be all positive and a good upside. Same goes for a wider, larger problems that we have, especially the war going on in Ukraine. If there's a peace deal, there will be plenty of additional economic activity of the construction of Ukraine and so forth that will, I think, benefit the full region, which will be very positive as well. There's some trade and some of the other services that are being provided from Georgia, and we've done a detailed analysis of that, how it will affect, which is unclear. At some point, one thing we can say is that from one side, we do see that it will be negative over the last couple of years. Let's say, it could be cumulative about 2%. But then the additional economic activity that will result from the reconstruction will more than -- most probably could balance it out full and, in fact, add more to it as well. So those are the overall assessment. The next one is, please, could you elaborate on the guidance? Are there any changes? There are no changes to the guidance, and the guidance is provided on the last page of our investor presentation. It's 15% growth, roughly 15% growth, capital distribution of 30% to 50%. And what's the third one, Nini?
Nini Arshakuni: Third one is if we have any guidance on the cost of risk for the next 3 years.
Archil Gachechiladze: No. Third part of the guidance is 20-plus percent return on equity. We don't provide guidance on the cost of risk, but up to 1% probably is what we have seen historically. Historically, we have seen slightly higher, but I have to say that in end of 2018, when the National Bank introduced additional regulation in terms of the responsible lending and so forth, this systemically decreases the cost of risk, especially on the consumer and the mortgages. So I think going forward, I think it's safe to assume that we will be 20%, 30% lower than historic averages, 30, 40 bps lower.
Nini Arshakuni: Yes. Do we have any exposure to iGaming?
Archil Gachechiladze: Not much, but that was not why we were looking at Malta. And I think I explained it in one of the questions that people asked. We like major players even in smaller markets, especially where we see that we can improve the -- our offering for the -- to their clients, which we thought that we could do there.
Nini Arshakuni: And a question from Nikolai Dimitrov. Do you see a combined Liberty-Basisbank becoming a more formidable competitor in Georgia?
Archil Gachechiladze: It will be a larger player. It will still be about 1/3 of where we are. So I think they will take a long time until we consolidate and so forth. So I don't know what to answer more than that. Thank you. Anything else, Nini? Are there any raised hands?
Nini Arshakuni: We have one raised hand from a person named Valerie [indiscernible]. Maybe it's not a raised hand or it's an accidentally raised hand.
Archil Gachechiladze: Okay. Well, in this case, that some of our colleagues are not asking a question, but they're certainly pushing a button. So on this bright note, thank you very much for attending this call. We -- to summarize, we are delivering strong results and continuing to deliver so. And where we can -- what we can say is that the growth opportunities, which are coming from the fact that the macroeconomic development in both countries has been very strong. That is providing opportunities for leading banks like Ameriabank and Bank of Georgia to provide services, to provide credit and resource to the private entrepreneurs and businesses, to deploy these resources and capitalize on the opportunities that the strong macro presents. And that's what we expect going forward, especially that we are seeing very positive moves in terms of Armenia-Azerbaijan peace agreement in terms of deescalating some tensions that have been there for decades. And all of this presents very, very significant economic opportunities. While on the Georgian side, the macro economy continues to deliver very strong results. We see deleveraging happening there, and the currency reserves growing very strongly. So all around are very strong numbers, and we are very well positioned to capitalize on it. So thank you very much for your attention, and let's look forward to the third quarter results.
Nini Arshakuni: Thank you, everyone, for joining. See you next time. Bye-bye.
Archil Gachechiladze: Bye.